Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2014 Genpact Limited Earnings Conference Call. My name is Ryan; I’ll be the operator for today. And at this time all participants are in a listen-only mode. We will conduct a question and answer session towards the end of the conference and we do expect the call to conclude within an hour. As a reminder, this call is being recorded for replay purposes. And I would like to turn the call over to Mr. Bharani Bobba, Head of Investor Relations at Genpact. Please proceed, sir.
Bharani Bobba: Thank you, Ryan. Welcome to Genpact's earnings call to discuss our results for the third quarter ended September 30, 2014. We hope you've had a chance to review our earnings release, which you'll also find in the IR section of our website, genpact.com. With me in New York today are Tiger Tyagarajan, our President and Chief Executive Officer; and Ed Fitzpatrick, our Chief Financial Officer. Our agenda today is as follows: Tiger will provide an overview of our results and address our progress in executing our more focused strategy, followed by Ed who will discuss our financial performance in greater detail. Tiger will provide closing comments and then we’ll take your questions. We expect the call to last about an hour. Some of the matters we will discuss in today's call are forward-looking. These forward-looking statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from those in such forward-looking statements. Such risks and uncertainties are set forth in our press release. In our call today, we will refer to certain non-GAAP financial measures, which we believe provide additional information for investors and better reflect the way management views the operating performance of the business. You can find the reconciliation of those measures to GAAP, as well as related information in our earnings release in the IR section of our website. With that, I’ll hand the call over to Tiger
Tiger Tyagarajan: Thanks, Bharani. Good afternoon, everyone, and thank you for joining us on our call today. Genpact delivered strong financial results in the third quarter of 2014, highlighted by Global Client revenues resuming double-digit growth. We continued the disciplined execution of our strategy by focusing our resources and investments in our chosen verticals, geographies and service lines. We are ahead of our planned investments in client-facing teams and domain-led capability builds. We have also improved productivity in our client-facing teams which is reflected in bookings momentum and improved win rates. All of this demonstrates that our growth strategy is generating results. Our strategy is to run our business with a more targeted focus that can drive faster growth in key areas and deepen client relationships. The four pillars of our strategy are as follows. First, concentrate our investments to ensure market leadership in select key industry verticals focused services lines and targeted geographic markets. Second, expand our team of subject matter experts and lead solution architects who bring extensive knowledge and domain expertise to clients. Third, further integrate our core operations, technology and analytical offerings to differentiate our solutions and finally, deepen our client relationships. The goal of our strategy is to capture a bigger set of opportunities in a large and still highly underpenetrated growth markets. By focusing our efforts, we are finding more opportunities to pursue and enhancing our credibility and differentiation in those pursuits. This is driving our increased investment both in capabilities and in client-facing teams where we continue to add highly talented and experienced professionals. We are seeing these investments begin to pay off as evidenced by acceleration in our global client growth rate and increased sales force productivity. As we have seen our revenue growth accelerate through the year, we have stepped up our investments in the third quarter and are ahead of our objective for the year. These are disciplined choices that we have made in our targeted verticals and we expect these investments to translate into a new level of transformative discussions with our existing and prospective clients. We are making significant progress in our strategy execution journey. First, we continue to build on the momentum we created at the beginning of the year and are making further progress in converting our big deal pipeline into revenue. In the third quarter, we signed another significant transformational engagement. We are partnering with Hitachi, a leading diversified manufacturing company to transform and outsource their financial accounting operations in Japan. Our partnership will support their smart transformation initiative aimed at optimizing and streamlining operations, while ensuring continued global growth and innovation. Second, we continue to add dolman and subject matter experts in our focused industry verticals, services lines and geographies and depth to our client-facing team with highly talented and experienced professionals. As I mentioned, we are actually ahead of our plan this quarter and now expect to spend approximately 6.5% of our revenue in sales and marketing for the full year. Third, the integration of our recently announced acquisition in the life sciences regulatory space is ahead of plan. This acquisition is a great example of our new more focused strategy in action as we made a significant investment in the vertical where we already have a market leadership position. Fourth, we launched our technology system of engagement, building and delivering an engagement layer technology that will fit on top of our clients’ multiple ERP systems to drive automation for the end-to-end processes we transform and run for clients. The exciting aspect of our system of engagement is that it builds on our foundation of deep domain understanding and process expertise. With advanced technologies such as enterprise-ready clouds, mobility, big data analytics and visualization to provide differentiated client insights and business impacts. Fifth, we have stepped up the integration of rapid robotic automation with our process excellent heritage to drive further improved process quality and operational intelligence for our clients. We are collaborating with select research institutions and technology start-ups on new technologies that will allow our clients. For example, to automate a manual three way match process in procure to pay. We believe identifying the right technology based on our process expertise improving that process through reengineering and redesign and integrating that technology is one of the largest levels in our business today in driving significant business impact. It is becoming a key differentiator for us in winning client engagements. Finally, our, know your customer solution with market in the capital market space is gaining momentum. The end-market is huge with just the top 10 banks spending approximately $1 billion annually on KYC requirements. Our solution will help them comply with the many rules governing these KYC requirements in an efficient and cost-effective way. Our partnership is in active dialogues with a set of additional banks beyond the original focus and partners for the utility. As we take our KYC offering to the market, we expect our investment to increase through 2015 while revenue is expected to ramp in the second half of 2015 and accelerate into 2016. Other key highlights for the third quarter demonstrate our steady progress. Total revenues increased 10% year-over-year and 5% sequentially in the third quarter and our Global Client revenues grew 13% year-over-year. Four of our target verticals continued to lead Global Client revenue growth in the third quarter, namely life sciences, CPG, insurance, and IMS, which all grew in double-digits year-over-year. From a service line perspective financial accounting, core vertical operations and consulting led growth. GE revenues declined less than 1% with growth in IT outsourcing and projects nearly offsetting expected declines in other parts of the business. Adjusted operating income margins totaled 15% in the third quarter, reflecting accelerated investments. These investments align to the four pillars of our strategy and our focus on the core verticals are already resulting in increased bookings and revenue acceleration and we believe will position us for long term profitable growth. Our pipeline continues to be healthy, with good inflows of larger complex deals. We have bolstered our capabilities with increased investments in advanced technologies and automation as well as consulting particularly in the area of finance and accounting and in risk and regulatory arena in financial services. Year-to-date pipeline inflows are strong and win rates have improved. I mentioned the Hitachi deal this past quarter, but I also want to highlight that we are on track for successful execution plus some key wins that we mentioned earlier in the year. Our work on the larger consumer package goods deal is resonating within the industry as we are quickly building unique core vertical operations capabilities that help clients grow revenue faster by combining industry expertise with cutting-edge technology and analytics to improve customer service and sales support for our clients. Second we are well on our way to creating a finance center of excellence for one of the largest global insurance companies. When this is fully ramped up, we will be providing complex services such as stat and regulatory reporting, corporate accounting, reinsurance accounting, tax and financial planning and analysis. In this specific case, our insurance industry knowledge, our depth of understanding complex F&A in this vertical and our DNA of transforming client processes to generate better outcomes allowed us to become the chosen partner. And third, we are deeply engaged with the information services company we talked about in the second quarter helping them transition from a portfolio of distorted businesses into an integrated enterprise. As part of this engagement, we have partnered with them to take over the client shared services center, drive working capital benefits and provide enhanced controllership and visibility within their finance organization. These examples are indicative of an evolution in the market over the last year or so as clients particularly in our targeted verticals have focused their attention on significant transformation and this is resulting in an increasing opportunity to engage in large deal discussions. In summary, we believe we have the right strategy with the right areas of focus to increase our market share and drive growth in our under penetrated markets. Although early, we are demonstrating great progress on this very exciting journey. I’ll now turn it over to our new CFO, Ed Fitzpatrick. As you know, Ed joined right before our second quarter earnings call when he introduced himself. He now has a full quarter under his belt and I am happy to turn the call over to him.
Ed Fitzpatrick: Thank you, Tiger and good afternoon everyone. Today I’ll review our third quarter performance followed by a summary of key highlights on the balance sheet and cash flows. We closed the third quarter of 2014 with revenues of $599 million, an increase of 10% year-over-year. Revenue growth was 8% excluding Pharmalink which we acquired in May 2014. Third quarter revenues from Global Clients increased 13% year-over-year excluding Pharmalink, revenue growth was 10%. Within Global Clients, business process outsourcing revenues increased 16%. Our Global Clients IT services revenues increased 5%. GE revenues performed better than expected with a decline of less than 1% year-over-year. Our overall BPO revenues increased 11%. Our overall IT services revenues increased 6% driven by growth in both Global Clients and GE. We continue to expand relationships with Global Clients in 2014 across the range of our industry verticals. In the 12 months ending September 30, 2014, we grew the number of client relationships with annual revenues over $5 million to 88 million from 77 as of September 30, 2013. This includes clients’ relationships with more than $15 million in annual revenues increasing to 30 from 25, and client relationships with more than $25 million in annual revenue increasing from 15 from 12. Adjusted income from operations totaled $89 million, compared to $956 million in the prior year. This represents a margin of 15%, versus 17.8% in the third quarter of 2013 as we are ahead of our planned investments in client-facing team and domains, subject matter experts. While operating margins were down year-over-year, due to selling and marketing investments, our gross margins grew to 39.7% from 38.4% last year, aided by operating efficiencies and favorable foreign exchange. As a result of the increased revenue and gross margin levels, total gross profits grew to $234 million from $206 million in the third quarter of 2013. SG&A expenses totaled $153 million compared to $170 million in the third quarter of last year. Our sales and marketing expense as a percentage of revenues this quarter was approximately 6.8%, up from 4.7% in the same quarter last year. On a full year basis, we expect sales and marketing expense to be approximately 6.5% of sales versus our previous estimate of 6%. Including capabilities our incremental investments are now expected to total approximately $60 million for the full year 2014 versus our original estimate of $45 million or closer to an incremental 2.5% of revenue versus our previous expectation of approximately 2% of revenues. As we mentioned previously, these investments have been ramping in 2014 and will have a full year impact in 2015. Net income was $46.7 million or $0.21 per diluted share in the third quarter of 2014, compared to $70.3 million and $0.30 per diluted share in the third quarter of 2013. Our adjusted EPS for the third quarter of 2014 was $0.26 per share, down from $0.33 per share in the third quarter of 2013. The year-over-year decrease of $0.09 in earnings per share was primarily driven by unfavorable foreign exchange re-measurement as well as lower operating income due to increased selling and marketing expenses. Our tax expense for the quarter for the third quarter was $15.1 million, down from $21.9 million in the third quarter of 2013, representing an effective tax rate of 24.5%, up from 23.8% in the third quarter of last year. The increase in effective tax rate was driven by certain one-time benefits recorded last year. I’ll now turn to our balance sheet. Our cash and liquid assets totaled approximately $424 million, up from $377 million at the end of the second quarter. This was after repayment of $12 million of debt. With undrawn debt capacity of $83 million and the existing cash as stated earlier, we continue to have flexibility to pursue growth opportunities. Our net debt-to-EBITDA for the last four rolling quarters was approximately 1.1x. Our days sales outstanding improved sequentially to 82 days from 84 days, due to stepped up efforts on larger past due accounts. DSOs are up year-over-year by two days, so this will be an area of continued focus. Turning to operating cash flows. We generated $86 million of cash from operations in the third quarter of 2014 compared to $126 million in the same quarter last year, this decline was in line with our expectations and was primarily driven by foreign exchange, re-measurement impacts, strong sequential revenue growth resulting in higher receivables and lower operating income. Capital expenditures as a percentage of revenue were approximately 2.9% in the third quarter of 2014. This was mostly invested to support incremental client operations. Finally, our outlook for the remainder of the year. We continue to expect 2014 to be a pivotal year for Genpact both in terms of revenue growth and adjusted operating margins. We expect GE revenue to decline approximately 2% to 3%, slightly better than our initial expectations. We expect Global Client revenue growth to be approximately the midpoint of our 7% to 9% rang with stronger growth in the second half of the year than the first. As a result, we now expect revenue for 2014 to be at the high end of the range of $2.24 billion to $2.28 billion. With the accelerated investments in sales and marketing an capabilities we expect our adjusted operating margins to be at the low end of the range of 15% to 15.5%. One and one more comment before I hand it over to Tiger. I’ve met some of you in person and on the phone and I look forward to meeting with all of our investors in the near future. I’ve been answerable times what I see in the opportunity at Genpact and my answer is, that I see a company with a leading market position and a high growth industry that is still in its early innings. A sticky recurring revenue model based on multi-year engagement with clients and a very strong cash generating business with great capital allocation option. So it’s a very exciting opportunity for Genpact and for me personally to be a part of this great team. Tiger?
Tiger Tyagarajan: Thank you, Ed. That said, 2014 continues to be a pivotal year for Genpact. We are executing on our more focused strategy and are already seeing positive results across a broader opportunity set by adding differentiating capabilities and building world-class client facing teams. In addition, the headwinds we experienced in 2013 and early 2014 have diminished an impact. The momentum in forward indicators such as pipeline and bookings has been building throughout 2014. We expect revenue growth to continue to accelerate into next year. Many of the investments we are making this year will have full year impact in 2015. We expect 2015 margins to remain broadly consistent with 2014, especially as we invest in ramping the large deals we have won this year. It is important to note however that we believe the investments we are making should position us well to return to mid-teens Global Client growth rate by 2016. With that, I hand the call back to Bharani.
Bharani Bobba: Thank you, Tiger. Ryan, can you open up the call to Q&A?
Operator: (Operator Instructions) And our first question is coming through from Joe Foresi
Jeffrey Rossetti – Janney Montgomery Scott: Hi, good afternoon. This Jeff Rossetti in for Joe. Tiger, I just was wondering if you could maybe quantify some of the bookings momentum and improved win rates that you discussed, maybe relative to three months ago and at the end of last year.
Tiger Tyagarajan: Jeff, we will be providing more color on bookings as we said in the last couple of quarter calls as we get into next year. Suffice it to say that the momentum on our bookings is a little better than what we had expected and part of that is driven by the big deal bookings, which as we had said many quarters, takes longer to get to find a contract. These are complex large deals that take time to solution and find the right answer for our clients and four deals that we have closed in the big deal category this year, the last one being Hitachi that we talked about provides the momentum in that booking that we talked about. And obviously that also leads to better win rate, given that some of our pipeline is now composed of these large complex deals that we are winning.
Jeffrey Rossetti – Janney Montgomery Scott: Okay, is there any change in the sales cycle for these large transformational deals that you are seeing in terms of closing?
Tiger Tyagarajan: No, Jeff, the large cycle deals are different from the more flow type of business that we have both with existing clients and with new prospects. These large deals do take longer. They are taking as long as we’ve been saying they are taking. So, no change in that, but the fact is that they do take longer. 
Jeffrey Rossetti – Janney Montgomery Scott: Okay, I mean, finally just on GE, it seems like one of your competitors has been growing with their relationship and I just wanted to see what you see from GE going forward outside of maybe the – your guidance for this particular year or what kind of changes are or what the accounts are you seeing, are there particular areas that are – where you can expand the relationship? Thanks.
Tiger Tyagarajan: So, Jeff, we’ve always talked about GE as being hugely penetrated by us in terms of the range of services across all the businesses that we offer globally. And we’ve also said that we continue to innovate along new service lines with GE and it’s one of the relationship that we do a lot of innovative services with. And that continues to be the way we are working. So for example, in the regulatory and risk space, a lot of the work that we are doing across our client base includes a lot of the work that we are seeing with GE Capital. We’ve always looked at GE as a flat up down plus or minus 2% and that’s kind of the way it’s playing out this year, a little better than what we had expected.
Jeffrey Rossetti – Janney Montgomery Scott: Thank you.
Operator: Our next question comes through from Edward Caso.
Edward Caso – Wells Fargo Securities: Hi, good evening. I didn’t hear a lot of conversation about analytics and so forth. Obviously, you had some terrific success with the big wins but could you talk about the role of analytics whether it’s a standalone offering or if it gets integrated, is it a door opener? I mean, where does it fit into the puzzle?
Tiger Tyagarajan: Ed, hi. It is all of the above. And that’s probably the right way to answer it and it is an evolution that we are seeing both in the marketplace as well as in the way we go to market and build our capabilities. So one, it is a very significant standalone offering that we’ve always had and continues to be a significant offering. We talked about risk and regulatory services that is all analytics. I think, risk and regulatory services are a significant component of the analytics service offerings that we have always gone to market with. It’s obviously one of those services that you are seeing for obvious reasons great traction. We are also embedding analytics very significantly into a number of service lines and that’s part of the capability build investments that we are doing. I talked about the systems of engagement. That’s not just technology, it’s visualization, it’s dash boarding, it’s predictive analytics along that technology that sits on top of complex, legacy ERP platforms. So that’s embedding analytics into our service lines. It’s certainly is a door opener in many cases, because in some of prime needs of clients in many industry that I want to drive growth, I want to drive cross-sell, I want to mitigate risk, I want to answer regulators. It’s a great door opener.
Edward Caso – Wells Fargo Securities: For Ed, the way you guided adjusted operating margin, does that imply that the fourth quarter will be below 15% if I’ve done my math right?
Edward Fitzpatrick: Yes, you’ve done the math right. You’ve done the math, but it’s really related to the investments having the full impact, right, we’ve ramped up significantly as we talked about and it’s just hitting the quarter in such a way.
Edward Caso – Wells Fargo Securities: Now that you said that, the reason or maybe one of the reasons for the margins being similar 15%, 15.5% in 2015 was because of the ramping of large deals. So, could the continued success on the new business front keep margins in that rage for the foreseeable future? Some of your competitors are starting to show improved margins.
Tiger Tyagarajan: Let me comment, it’s Tiger, Ed. We will guide too far into the future. But I would say that next year is impacted by a few things and we talked a lot about each of them on the all in our prior calls. But the ramping of large deals is one, the full year impact of the investments that we are making in selling and marketing and in capabilities having a full year impact is the other significant piece there. So I think that’s what ‘s impacting next year more so. We haven’t communicated where we would go after that, but I would say we should experience some leverage going forward but next year more of a challenge because of particularly the investments that we made this year. And just on that one point on what happens when we have large deals transitions, Ed, you know the way the business model works, when you accelerate growth, which is what we are experiencing, you have more transition in a year than the previous year. When you have steady state growth then why you are – while you are doing new transition, all your transitions are maturing. So those tend to wash each other out. We are experiencing acceleration and that’s one of the reasons you will see an impact. We expect an impact in 2015, but we’ll talk more about it as we get into the next quarter.
Edward Caso – Wells Fargo Securities: Last question, as the leader in F&A, we continue to hear from the advisors and other people that the F&A part of the world is increasingly commoditized and under intensified price pressure. Are you seeing that? And how are you sort of getting around that to protect margins?
Tiger Tyagarajan: So, Ed, the way I would characterize it is, price pressure and competitive pricing has always been the nature of this business and that hasn’t changed. I would not characterize it as commoditization because what is happening in many spaces, finance and accounting being an example, is more complex, more embedded analytics in that journey, higher value-added services, more global delivery, and more technology embedment that it sits on top of the ERP layer. So I would actually characterize the current journey that transformative clients are on actually as more complex and less commoditized.
Edward Caso – Wells Fargo Securities: Okay, thank you.
Edward Fitzpatrick: I think Ed, just to add to that, we did mention that, margins are holding steady, actually improving a bit this quarter. So another indicator.
Operator: Okay, our next question comes through from Keith Bachman.
Keith Bachman – BMO Capital Markets: Hi I wanted to go back to the question Ed was asking, I am still not sure what the message is. So the math would suggest that you are going to be in the 14% range for the fourth quarter and yet you said, FY 2015 margins would look like FY 2014 margins. But I am not sure if the message is, FY 2015 looks like 14% or if it’s in the range that you are suggesting a 15.% to 15.5%.... .
Edward Fitzpatrick: Well, it’s (inaudible) I am sorry, go ahead.
Keith Bachman – BMO Capital Markets: That’s okay, everybody does. So the message is, that FY 2015 will look like FY 2014 which is 15% to 15.5%. Is that the message?
Edward Fitzpatrick: Yes, we are saying more in line with the full year numbers.
Keith Bachman – BMO Capital Markets: Okay, because that’s a very different context. So, therefore the conclusion is, you are making some incremental investments in Q4 here, I don’t want to say one-time, but won’t be replicated. So, we are not going to see a 14% margin on FY 2015 you don’t think.
Edward Fitzpatrick: I wouldn’t comment in the quarter-by-quarter, but I would just say, right now our expectation is full year we expect to be more in line with what we do in 2014.
Keith Bachman – BMO Capital Markets: Okay, fair enough. Then my broader is also similar, Accenture, in particular in Cognizant to some extent, are messaging that there is more bundling going on if you will, that is to say in combination of various services, consulting, IT integration, analytics, et cetera including BPO, that’s really winning the business. So as you think about your strategy, how effective is Genpact? Because you are sub-scale when you are going into the likes of Accenture and some of the other larger players, how are you effectively competing in the larger deals in particular?
Tiger Tyagarajan: So, Keith, the first answer to the question is we are obviously effectively competing because we are winning. The same people you name, because a lot of these are complex deals and those are the players who typically are present in those conversations. Obviously, the basis of competition is different for different people. Our basis of competition is our understanding of the domain, our understanding of the process and our understanding of being able to drive effectiveness apart from efficiency and outcomes, something we’ve built over many, many years and we talked about it in many other calls before, price process, process benchmarking that drives outcomes. And then we are bringing in what we think is the technology of the future which is a thin layer, cloud-based, mobility-based, big data-based, that sits on top of ERPs. That’s our basis of competition and for us, it’s winning a fair share of what we want to win.
Keith Bachman – BMO Capital Markets: Okay, fair enough. So, I am going to sneak one in and I’ll see the floor. Ed, if you just think philosophically about cash flow or free cash flow more specifically, as you think about CY 2015, is your initial impression that CY 2015 will be flat up or down in terms of free cash flow year-over-year?
Edward Fitzpatrick: I think, as we model and as we guide that as we get into next year at the end of the fourth quarter, the way I think it should be in line with our profitability growth. So, that’s net income growth cash flow should grow, I did mentioned, receivables and working capital are the area of focus. So, we need to make sure that we continue to stay on that such that we do drive through as much of net income to cash flow as possible so that’s the way we are thinking about it.
Keith Bachman – BMO Capital Markets: All right. Fair enough. Many thanks guys.
Tiger Tyagarajan: Thank you, Keith.
Operator: Next question is from Anil Doradla.
Anil Doradla – William Blair: Hey guys. Thanks for letting me and couple of questions. The Hitachi deal, Tiger, can you share with us, how long did it take and how competitive this deal was?
Tiger Tyagarajan: How competitive? And don’t know, how long we take it, but all in all I suspect from the beginning of the conversation to the end, about 18 months. If I were to talk about when we actually first started engaging, that goes back to the family started in Japan which is 10 years because these are large corporations, global corporations and it takes time for something like that in Japan. And your other question was around competition. Competitive, but again in some markets, in some services, competition pins out very quickly. Japan, as an example is one of those geographies where we’ve been present for 12 odd years. We have a strong local presence. We have a very credible 12 plus year heritage of delivering services from China into Japan. Very local team in Japan and very local team in China and leverages all our global capabilities in financial accounting. And when you put all that together with a global conglomerate like Hitachi, doesn’t take long to figure out that it becomes a very specific conversation with a few people to figure out the right solutions for Hitachi.
Anil Doradla – William Blair: And how do you think this deal is going to evolve? I mean, is this going to be an all-in compassing Hitachi or certain subsidiaries and then from there, you are kind of grow from here? I mean, could this be a top five customer of you, say in the next three years?
Tiger Tyagarajan: Anil, I wouldn’t necessarily predict over the next three years, but very clearly, given the size of the company, the nature of their business, multi-business environment and our heritage is one could easily argue this could be one of the largest relationships that we could have over many years.
Anil Doradla – William Blair: Sure thing. Tiger, you also talk about investments that you are talking about in the core verticals and highlighted some subsequent good traction, now specifically, can you give a little bit more color? Is it largely mostly around personnel or was it around tools or when you talked about some of these investments, can you maybe provide a little bit more color?
Tiger Tyagarajan: We’ve always said that our investments are kind of split between client-facing, people with domain expertise in the specific service lines and industry verticals and that’s about two-thirds of our total investment and one-third of the investment is actually bringing together subject matter experts in those service lines and verticals in order to build industry-leading solutions that combine process domain understanding, technology and analytics, to solve big problems that clients are facing in these areas and big opportunities that they want to tackle. And that’s kind of the way that investment is being split. They play into each other. A lot of the leading conversations are had by our thought leaders with our clients in the front and the build out of those are done by deep subject matter experts, who bring tall that together at the back. And obviously the teams are combined to actually make that happen.
Anil Doradla – William Blair: And Tiger, you did talk about it, I am not sure, whether I got the answer, but, did you quantify how much revenue we are getting from analytics?
Tiger Tyagarajan: No. did not. 
Anil Doradla – William Blair: And would love to hear on which it would be.
Tiger Tyagarajan: It’s more and more embedding itself into a number of our deals. So part of the challenge in your question, I ‘m trying to answer the question is, is slicing and dicing that. I mean, if you think about a large insurance deal where you are managing end-to-end claims that includes often. Actually processing the claim it includes the technology system of engagement that I talked about in order to sit on top of probably a legacy claims platform and it includes building fraud analytics engine, building models that catch frauds much before they happen. And that becomes the overall full solution. So more and more the way we think about the business is solutions that solve either a big opportunity or a problem for a client to deliver great outcomes for them.
Anil Doradla – William Blair: All right, thanks a lot guys.
Tiger Tyagarajan: Thank you. 
Operator: Our next question is from George Tong.
George Tong – Piper Jaffray: Hi, it’s George from Piper. Based on what you have in the pipeline in bookings, how much growth would you say in the bag for next year in Global Clients?
Tiger Tyagarajan: George, I think the best way to answer that question was, we see good momentum based on that booking and based on the pipeline and based on our win rate and we see good momentum in our Global Client growth. Obviously, right now, as we speak, we are in the middle of our planning cycle. We will completed that exercise by late December early Jan and we’ll be ready to talk about specific numbers by that time, we come out and talk in late January.
George Tong – Piper Jaffray: Great and I want to further explore how you are thinking about investments in client-facing teams and capabilities? Are you accelerating investments from next year into this year or are you increasing investments on a sustained run rate basis? And if this were an acceleration in investments, any reason why we shouldn’t expect to see margin expansion next year?
Tiger Tyagarajan: It is actually a little bit of acceleration more than anything else at the moment. And the prime reason for not seeing that play out in margins next year is because, this is a full year impact next year, and of course, we talked about large deal transitioning more next year than they did this year, those will be the two drivers.
George Tong – Piper Jaffray: Perfect, and then last question, can you discuss whether your stepped up investments are designed to sustain your current growth rate which is very strong in Global Clients or are they meant to further accelerate growth above and beyond 13%?
Tiger Tyagarajan: Yes, so the way, George, we’ve talked about it is that, in the medium term and let’s – for the purposes of this discussion, we’ve said 2015, we like our Global Client growth to get to broadly the mid-teens arena and if you model that out, it looks like a steady move from now to 2015 into 2016.
George Tong – Piper Jaffray: Great, thank you.
Tiger Tyagarajan: Thanks, George.
Operator: Next question is from Bryan Keane.
Evan Bull – Deutsche Bank: Hi guys this is Evan Bull on for Bryan. Just thinking a little deeper on the Global Client growth rate, it looks like there was a nice acceleration on an organic basis to 10%. Can you give some puts and takes behind that acceleration? Was most of that from the two deals that you signed in last quarter ramping?
Tiger Tyagarajan: So, I would say, it’s a combination of big deals, it’s a combination of the client-facing teams with some of our larger relationships that took new capabilities to our existing big relationships and added new growth to those relationships. Part of the reason why our relationship over $25 million and the $15 million to $25 million category growth was growing with existing clients. So, I would say, it’s a combination of all of that.
Edward Fitzpatrick: And pretty broad, we mentioned the verticals that we saw that growth as well, so it wasn’t in one vertical rather there were four or five, it grew pretty nicely in the quarter.
Tiger Tyagarajan: Correct.
Evan Bull – Deutsche Bank: Okay, great. And then, I guess, on GE, it looks like this is the third straight quarter that GE has outperformed company expectations. I guess, how much visibility do you guys have in that business quarter-to-quarter? Can you just help us see that? And the expectation, I guess for this quarter, you guys have been well ahead the mid-single decline you’ve kind of outlined, maybe just an update there?
Tiger Tyagarajan: Yes, little bit of the acceleration was driven by projects and IT projects and consulting projects. By definition therefore they have a shorter cycle and shorter tenure in nature to them. Visibility for GE, the depth in our relationship and the breadth of what we do, actually means that cycles are very, very short. And that’s the way it should be, the deeper the relationship, the more we are connected end-to-end as a process, the shorter the cycles and therefore to that extent things crop up and we get engaged and drive the change very quickly. So, to actually to some extent, projects crop up and we are on to it and then they get completed and those projects disappear. That’s the way I would think about that relationship which is why, the right way to think about the GE relationship is, flat up or down 2% on a year-over-year basis.
Evan Bull – Deutsche Bank: Great, and then I guess, Ed, a question for you on capital allocation. It seems like for the past couple of quarters you guys have been pretty focused principally on investing for growth versus the priority, whether that was internal investment in sales force or through M&A? I guess, my question is, has that changed now, that we are starting to see some pretty solid growth come through. Have you re-evaluated your capital allocation priorities, maybe focus more and share the returns to buyback or dividend? Thanks.
Edward Fitzpatrick: So, I would say, the company is still and will continue to always be focused first on driving profitable growth. I think the company has done that. And it’s done that very well and we are seeing some of the fruits of that come through this quarter as we’ve talked about. And on capital allocation, I would say the company has done a good job at this in the past with returning capital to shareholders, it’s been a diverse set of pools that we used to return capital to shareholders, but I think we’ve done it effectively including the most recent share repurchase that we’ve done a quarter or so back. I think, going forward though, Tiger and I are working on a framework with the Board, such that we can formalize in such a way a methodology that we are going to pursue such that investors won’t be surprised by anything that we do going forward or at least there shouldn’t be any surprises in the types of things that we are going to allocate our capital to going forward and we’ll come back to you with that framework near-term.
Evan Bull – Deutsche Bank: Thanks and congrats again.
Tiger Tyagarajan: Thank you.
Operator: Next question is from (inaudible). Go ahead. Okay, we’ll move on, our next question is coming through from Ashwin Shirvaikar
Ashwin Shirvaikar – Citi Group: Hey guys, congratulations on the quarter.
Tiger Tyagarajan: Thank you, Ashwin.
Ashwin Shirvaikar – Citi Group: I guess, really a revenue growth question as I look forward. Obviously, this year several factors affected the growth rate, a few of those were sort of one-off actions that you are taking, a couple of quarters down now that you had a chance to implement some of these things such as exiting non-core areas and, it’s been a chance to potentially lack some of that headwinds from the – explained that went away and so on so forth. Could you lay out for investors over the next few quarters how growth can step back up? Obviously, a positive in that step is going to be contracts you signed ramping. But I just want to understand how some of the original factors are faring?
Tiger Tyagarajan: So, Ashwin, I think I would start with the new deal momentum, the big deal momentum, the pipeline, the booking and the win rates as a big driver. And then in terms of some of the factors that impacted, particularly the second half of 2013 and the first half of 2014, I would call out the mortgage headwind as one of those which from a year-on-year comparison basis starts becoming not a headwind, as we get into next year and that’s good because that did create a headwind. One of the other headwinds we’ve talked about was foreign exchange. The reality is foreign exchange moves up and down, but I would think that that probably does continue into next year. So, clearly some of the headwinds that we had go away. In terms of our focus and not focusing on some peripheral businesses, that’s been an action through 2014 and if still in fact continuing, and will continue into probably the first couple of quarters of 2015. And – because these are again longer cycle, longer-term relationships and work that we do. So I think that will play itself out probably in the next couple of quarters. It’s a combination of growth and some of the headwinds that we talked about going away.
Ashwin Shirvaikar – Citi Group: Understood, and as you look at growth going forward, how would you sort of wait going after new deals and the new deal pipeline as it rebuilds versus ramping existing clients versus going back and selling – cross-selling or up-selling some of the clients that you had for a few years and making them larger.. Where is your focus and the focus of your sales force? .
Tiger Tyagarajan: So, still the reality is that you got to focus on both. We have in our front-end client-facing teams, one group of people whose role is to work with new clients in our chosen verticals and take capabilities and services and have the right conversations with them based on the journey that they are on. And there is another set of people whose job it as to continue to add value to our existing relationships and grow them, regarded to both, and that’s been our journey so far and in addition, they are actually nicely balanced between the two.
Ashwin Shirvaikar – Citi Group: Got it. My last question is on sales force productivity. If you can comment on how that’s progressing? 
Tiger Tyagarajan: That’s progressing really well. Ashwin, starting with the kind of people we are attracting and having joined the team, the caliber, the depth, the experience that they have, not just in our kind of business, but in many cases, the industries that we serve and the solutions that they have conversations they are on and the thought leadership they bring into those conversations and the conversations that they have at the suite level. Across a range of functions, and then, as those conversations progress, depending on whether their role is to bring in a new client, all their role is to work with the existing clients, you have different productivity levels. Obviously, new clients take longer. The cycles are long as you know. And then it also depends on the type of conversations you have, is it a short cycle, quick decision, analytical opportunity or consulting re-engineering type opportunity which is obviously something that you can start showing early. So we measure productivity in all kinds and ways in terms of cycle of the deals. The activity level that each person is carrying, the range of those conversations, and then ultimately, movement of that pipe conversion into booking and subsequently into revenue. So, obviously, we have a range of metrics and a number of those metrics that we are watching as people get in divisions of the team and become part of the team are all moving in absolutely the right direction.
Ashwin Shirvaikar – Citi Group: That’s good to hear. Thank you again and look forward to seeing you tomorrow.
Tiger Tyagarajan: Thanks, Ashwin.
Operator: Next question is from Puneet Jain.
Puneet Jain – JP Morgan Chase & Co: Hey, thanks for taking my question. So many of your peers also talk about investment in automation, processes, tools. Do you think this is something that differentiates Genpact from peers? Or is it increasingly becoming more like a capability to compete?
Tiger Tyagarajan: So, Puneet, the tool itself is not a differentiator, anyone can have the tool, it’s available. The reality is how do you use the tool is dependent on do you really understand the domain and the process. And that’s our differentiator. And that will always be our differentiator.
Puneet Jain – JP Morgan Chase & Co: So, some of the partnerships you mentioned on the call and in the press release, throughout the quarter, do you think they will help you differentiate from peers?
Tiger Tyagarajan: Puneet, those partnerships give us the technology that we know how to configure use in a specific situation. So again, those tools are great. I think the companies that actually have developed these tools are great companies and great start-ups that are built these out. But we need to bring them and in the context of the domain and what the client is looking for to be able to make it work.
Puneet Jain – JP Morgan Chase & Co: Understood, understood. And can you also talk about pricing trends you are seeing on some of the large deals that are in the pipeline and that you have recently signed? 
Tiger Tyagarajan: Stable, is probably the best word to use. And as I said, I think in a couple of calls before, large deals are complex, they require many things to come together to add value to the client. The clients are looking not just for price, they are looking for true value. And therefore the evaluation is around true value and to that extent, as I discussed earlier, these are not commoditized conversations.
Puneet Jain – JP Morgan Chase & Co: Thank you.
Tiger Tyagarajan: Thanks, Puneet.
Operator: Okay we will try again here from (inaudible)
Unidentified Analyst: Hi, thanks for taking my questions. Couple if I may. Firstly, on the margins, if we ex out the impact from this incremental investments and also the ramp up of the deals and the subsequent impact on margins, on a more of a steady state situation, are you actually seeing underlying improvement in operating margins and …
Tiger Tyagarajan: I would say, I would say, just if you look at the gross margin level, the answer is yes, right. So, at least stabilized, for sure not down. So the reason we are down more so is because of the investments in fact without that we’d be up. As you saw, gross margins are up 100 basis points or a little more year-over-year, so the answer to that is, yes.
Unidentified Analyst: Okay and probably just one on smaller contracts. Obviously, you seem to be developing very good pipeline for larger deals, what are the plan or what’s the agenda on smaller contracts?
Tiger Tyagarajan: So, we’ve talked about this earlier, big deals are additive to what I would call, regular flow business, both from existing client relationships as well as new relationships. So, it’s not a replacement, it’s not an either or. There is good momentum in our core regular flow business. Those transformative deals are the ones that our clients are beginning to think about, particularly the largest clients in terms of driving big transformational agenda, in all our chosen verticals, they are all undergoing transformation for a variety of different reasons and that’s one of the ways we went about choosing the verticals and the service lines that we would focus our energies and attention and investment around.
Unidentified Analyst: Okay, very clear. Thank you.
Tiger Tyagarajan: Thank you. 
Operator: And we have no other questions in queue. So, I’ll pass it back over to Bharani for any closing comments.
Bharani Bobba: That concludes our call for today. Thanks all for joining and as always, we will be available afterwards to answer further questions.